Operator: Good day, and welcome to the KVH Industries Inc. Q1 2021 Earnings Conference Call. Today's conference is being recorded. This time, I would like to turn the call over to Roger Kuebel. Please go ahead, sir.
Roger Kuebel: Thank you, operator. Good morning everyone, and thank you for joining us today for KVH Industries' first quarter results which are included in the earnings release we published this morning. Joining me on the call are the company's Chief Operating Officer, Brent Bruun, and CEO, Martin Kits van Heyningen.  Before we dive in, a couple of quick announcements. First, if you'd like a copy of the earnings release, it is available on our website and from our Investor Relations team. If you'd like to listen to the recording of today's call, it will be available on our website. If you are listening via the web, feel free to submit questions to ir@kvh.com.
Martin Kits van Heyningen: Thanks, Roger. Good morning, everyone. Thank you for joining us today. Our strong first quarter sustained the momentum we built during the second half of last year, exceeded many of our expectations and reinforced our confidence for 2021 and beyond. Total revenues increased 16% in the first quarter to $42.3 million from $36.6 million in the first quarter of 2020. Non-GAAP adjusted EBITDA in Q1 was $1.1 million compared to a loss of $3.7 million in the first quarter of 2020. Thanks to increasing airtime margins, strong shipments of high margin inertial nav products and continued cost containment, we were strongly cash flow positive from operations as well. We also achieve positive results in our key business areas and continue to make progress against our strategic initiatives. We set our second consecutive record quarter for VSAT shipments. Completed this shipment of a significant TACNAV order and made outstanding progress on our photonic chip technology, with the recent announcement of an all-new inertial product line for our IMUs. So, now I'm going to go into some of the details on each of our core markets. Q1 airtime revenue increased 11% compared to the first quarter of last year, driven primarily by a 7% increase in subscribers and almost a 7% increase in ARPU. While our media and NEWSlink business continue to be negatively affected by the shutdown of cruise ship operations worldwide, our revenues for AgilePlans, our Connectivity as a Service program for the commercial market, AgilePlans revenues were up 48% compared to the first quarter of 2020. The continued strong demand for AgilePlans is a significant indicator of the robust health of our business. Since launching AgilePlans four years ago, we've expanded our target market to include smaller commercial vessels. This long-term growth strategy is paying off as AgilePlans amounted to 84% of our total commercial maritime VSAT shipments this quarter and 67% of total VSAT shipments. AgilePlans now represents 41% of our VSAT subscriber base.
Roger Kuebel: Thanks Martin. As Martin mentioned earlier, our first quarter revenue came in at $42.3 million compared to $36.6 million recorded in the first quarter of 2020. Our consolidated gross profit margin was 37% even as compared with 32.1% in the first quarter of last year. Revenue from our inertial navigation segment increased $4.1 million year over year with gross margin increasing about 14.5 percentage points to 44.1%. Revenue from our mobile connectivity segment increased $1.6 million with a gross margin of 34.2% up around 1.5 percentage points. Product revenue for the first quarter was $18.4 million, an increase of $5.3 million or 41% from $13.1 million in the first quarter of the prior year. By segment product revenue in our inertial navigation segment increased $5 million or 77%. And in our mobile connectivity segment, product revenue increased by $0.3 million or 5%. Within our inertial navigation segment, TACNAV sales increased by $4.2 million this quarter, compared to the prior year's first quarter, while our FOG revenues increased by $0.9 million compared to the prior year's first quarter. The increase in mobile connectivity product sales was primarily due to a $0.4 million increase in mini-VSAT product sales. Service revenue for the first quarter was $23.9 million an increase of $0.4 million or 2% from $23.5 million in the first quarter of the prior year. By segment, service revenue in our mobile connectivity segment increased by $1.3 million or 6%. This increase was primarily due to a $2.2 million increase in mini-VSAT broadband airtime revenue. Airtime revenue grew to $21.4 million or approximately 11% over the first quarter of last year and the related gross margin was 34%. As Martin noted, this was driven in part by a 7% increase in subscribers, primarily as a result of agile plans with agile plans now representing 41% of all mini-VSAT airtime subscribers. The increase in airtime revenue was partially offset by a $0.9 million decline in our media business, which has been significantly impacted by the travel restrictions associated with COVID-19. In our inertial navigation segment, service revenue decreased by $0.9 million, primarily due to the prior completion of a project for a major US defense customer, which has resulted in lower contract engineering service revenue in this quarter compared to last year. Operating expenses for the quarter were $19.3 million down 1% from $19.4 million in the first quarter of the prior year, as we have continued to hold the line on operating expenses, as revenue grows.
Operator:  We have a question from Ric Prentiss, Raymond James.
Ric Prentiss: Roger, welcome. Wanted to get a sense of what have you learned in the first few months on the job that's got you excited or got you nervous?
Roger Kuebel: Yes, well I think the company has great products. We're in great markets. I've been really impressed by the team here. I think everyone's doing a great job. I'm very happy, particularly on the finance team. When you come in as the new CFO, I think you're always concerned, is everything buttoned up and I think it really is. And so I feel very good about that. Obviously I'm still learning a lot about the company. Two months is really not a lot of time to sort of learn, but I think there's great prospects. And I think there's a great opportunity here, and I think we're in a great industry. It's not like a situation where we've got an industry that's just in a terrible, terrible place and it's tough to make any money. I think we're in good spaces, we're in good markets and we've got really good products. So I think all those things are extremely positive. I think that the challenge that we have is sort of executing on our strategy as we move forward, and look it our various opportunities picking the right ones to pursue.
Ric Prentiss: Okay. And the guidance was maintained, but it kind of says, assuming that early third quarter, we get back to a more normal level with customer activity, we're sitting here on Cinco de Mayo, which means 2Qs almost halfway done. How should we think about the visibility of that customer returns activity by early three Q?
Martin Kits van Heyningen: I think overall it's looking better and better. I think that it's been a couple months since we issued that statement originally, and since then we've seen great uptick in our demand for VSAT products, RPU's are up, great response to our new product so it seems like the markets are coming back strongly. The only part of our business that's still down significantly is the cruise business with our media, but rumor is that will start to pick up again in Q3. So I think generally everything that we thought was going to happen is on track. So it looks like we should be in good shape for the second half of the year.
Ric Prentiss: Makes sense. The industry has gone through some interesting items, M&A, JVs, Orbcomm got an offer to go private, ViaSat did close its Reg Net deal last Friday. How are you thinking about your balance sheet and what you see as far as opportunities in the space, given joint ventures, M&A or other items?
Martin Kits van Heyningen: Yes. I think you're mentioning things that we internally think about a lot. I think that the industry is consolidating. A lot of our competitors have gone out of business or gone bankrupt or been acquired and primarily they had too much debt. But we've been growing market share, we're growing revenues, we have a very strong balance sheet with positive net cash. So I think we're in a very strong position and we continue to evaluate opportunities, but unlike our competitors, our entire VSAT business was built with 100% organic growth. So we never required a single VSAT subscriber. So we're continuing to gain market share. And we feel pretty good about where we are.
Ric Prentiss: And final one for me is, obviously some activist shareholders are starting to take a look as well. Talk to us a little bit -- and I did see the board refresh announcement. Talk to us a little bit about what you think the pressure points are and what you can do to address some of those.
Martin Kits van Heyningen: Yes. So primarily today I'd like to talk about the Q1 earnings and the great progress we're making there. We did put out a press release announcing we have 2 fantastic new directors, if you haven't seen it, I'd encourage everyone to take a look at that. Really strong backgrounds in maritime, as well as in telecommunications. And we've also put out our preliminary proxy so you can get the details on that.
Operator: Our next question comes from Chris Quilty, Quilty Analytics.
Chris Quilty: Wanted to follow up on a point that you made in terms of network cost and migration. I thought last quarter you had mentioned cost savings of $4 million to $5 million, and now you're saying $12 million. First of all, is that correct?
Martin Kits van Heyningen: Yes. So let me clarify that. So the total network costs that we'll be shedding around $12 million, if every single one of those customers moves over to the HCS, we'll be adding capacity on HCS in the order of, let's call it half that. So the net savings, if there were no additional subscribers, if everything stayed status quo, would be probably closer to $6 million than the $4 million to $5 million I mentioned previously as a saving. But of course we're adding subscribers, we're adding bandwidth, but that's independent of the actual migration. So what I was talking about with the $12 million savings is, come December 31, that network is going dark and those costs go to 0, come January 1, and that's a $12 million difference.
Chris Quilty: Got you. and so should we expect like a big bump in Q1 of next year in margins, and then they kind of go down a little bit as you continue to add capacity onto the network?
Martin Kits van Heyningen: No, I don't expect the margins to go down. I think the margins will go up next year and then they should go up every quarter. And we don't anticipate any step function increases in network costs and it'll be incremental as subscribers grow. So we should see a nice bump in margins next year and that should translate into the bottom line.
Chris Quilty: And again, still sort of longer term trending towards the 40% level from what was it? 34% this quarter?
Martin Kits van Heyningen: Yes. Yes. That's still a good internal metric that we use. And the reason for that is that as we add subscribers, as you know, the costs per subscriber go down for us in terms of whatever the fixed costs are, but also in terms of maintaining our competitive pricing in the marketplace, we probably won't see margins higher than 40%. We'll use that to gain additional market share. We think 40% is a healthy, sustainable margin for us.
Chris Quilty: Understand and sticking with the margin theme, product margins overall were up substantially and I guess most of that was product mix with the benefit of TACNAV sales. But more generally as you look across the product lines and certainly with the shift to the new pic. Should we see a sustained lift in margins across many of the product lines?
Martin Kits van Heyningen: Well, I'll let Roger answer that in detail, but at the macro level we have fixed overhead and factory costs, and factory utilization is a big part of our margin calculation. What we're seeing is increased demand, both in our fiber-optic facility, as well as in our SATCOM facility. So, that fixed component is going to continue to go down. Offsetting that is, we want to keep the product affordable so that we get the airtime revenue. So generally, we sell those at margins that are lower than you would for a standalone product because these products have a very long tail. The units that go out typically, we ended up having the subscriber for five to 10 years. And as you know, our RPU is around $1,200, $1,250, whatever. It's a very nice business model. So, we don't focus as much on hardware margins, but having said that, we do expect them to increase generally.
Roger Kuebel: Yes. And I will say, I've really just started digging into this issue and, honestly, it would be premature for me to make any comments on it yet. But hopefully by the next call we have, I can say more around that.
Chris Quilty: I understand. And you mentioned RPU. I mean, typically you haven't, for at least the last couple of years, mentioned RPU. The fact that it was up this quarter, would you attribute that to just a lift in usage patterns or is it the type of service plans that individuals are signing up for?
Martin Kits van Heyningen: Well, we've seen a big increase in usage. So, that's number one. Number two, we have some new rate plans that are intentionally designed to be more attractive as you go up in plans. Our HCS entry points are a little bit higher than the exiting, old ArcLight legacy network entry points. So I think that helps. So as I mentioned, it was probably a six or 7% increase in RPU, year over year. And that number does bounce around a little bit. I wouldn't put too much importance on that, but the point is, it's going up as opposed to going down, which is a very, very healthy metric for us. Because for the last 10 years we've been watching to make sure that RPUs aren't going down as you get price pressure from competitors and things. So, we're really happy that it's stable and actually increasing a little bit.
Roger Kuebel: And as Martin said, the number does bounce around a bit. And he also made reference to our new V30, which is a 37 centimeter. Which typically, the average 37 centimeter customer has an RPU lower than in the overall average. And as we see some more success with that product, and we hope to see a lot of success, it may have somewhat of an impact on your RPU number that Martin just spoke about.
Martin Kits van Heyningen: Right. That's absolutely right, even though it'll drive total airtime revenues up.
Roger Kuebel: Yes. And total margin dollars up.
Martin Kits van Heyningen: Right.
Roger Kuebel: Right. Yes. Sorry.
Chris Quilty: Great. Just a question on network capacity, as you shift from mini-VSAT to the HTS network. There is somewhat limited global Ku-band HTS capacity. A handful of new satellites coming online over the next several years. Any concerns around capacity constraints and any plans in the future to add a Ka-Band type network?
Martin Kits van Heyningen: Well, we don't have any plans to do Ka network today. As you know, we also have a C-band network that we use as well as the Ku-band network for our dual mode product, like the V 11. We have Ka-band products, like our UHC7 for the satellite television market. But where we are today, we've got a lot of capacity available to us. There are a lot of people who want to sell Ku-band capacity. So, I think we're in a pretty good spot today. Frankly, we'd love to be in the position where that becomes our major hurdle.
Chris Quilty: Great. And final question, TACNAV, large orders, pipeline, how's it shaping up this year?
Martin Kits van Heyningen: It's, I'd say, okay. We have about, I think 70% of our annual forecast already in backlog, which is good. Still have some to book and ship this year. So, I think we're about where we expected to be, but we're not done.
Chris Quilty: Any major program activity with the DOD or other foreign customers on track?
Martin Kits van Heyningen: Yes. There's a lot of different programs that we're pursuing. There's no single program that we have in our annual forecast or budget that we're counting on. So it's really a mix of smaller ones would get us there. Obviously, any large program would push us way over the top.
Operator: We have no further questions in the queue at this time.
Martin Kits van Heyningen: Okay. Well, we'll follow up with some of the other analysts directly after this call and thanks everyone for listening.
Operator: Thank you, ladies and gentlemen. This concludes today's teleconference. You may now disconnect.